Operator: Please standby, we are about to begin. Good morning, ladies and gentlemen. And welcome to Genworth Financial’s First Quarter 2023 Earnings Conference Call. My name is Jess, and I will be your coordinator today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of this conference call. As a reminder, the conference is being recorded for replay purposes. Also we ask that you refrain from using cellphones, speakerphones or headsets during the Q&A portion of today’s call. I would now like to turn the presentation over to Sarah Crews, Director of Investor Relations. Please go ahead.
Sarah Crews: Thank you and good morning. Welcome to Genworth’s first quarter 2023 earnings call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth website investor.genworth.com. Our earnings release and financial supplement can also be found there and we encourage you to review these materials. Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. In addition to our speakers, Brian Haendiges, President of our U.S. Life Insurance Business; and Kelly Saltzgaber, Chief Investment Officer, will also be available to take your questions. During the call this morning, we may make various forward-looking statements. our actual results materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation, as well as risk factors of our most recent annual report on Form 10-K as filed with the SEC. This morning’s discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with the SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. And now, I will turn the call over to our President and CEO, Tom McInerney.
Tom McInerney: Thank you, Sarah. Good morning, everyone, and thank you for joining the call. I want to welcome Jerome and Kelly to the first call on their official capacity. So Jerome as Chief Financial Officer and Kelly as Chief Investment Officer. Genworth reported strong first quarter results, reflecting a successful start to the year, despite a challenging economic environment marked by persistent inflation, high interest rates and volatility in the banking sector. As a reminder, this is the first quarter we are reporting results under the new GAAP accounting standard for long-duration targeted improvements or LDTI, with the first quarter of 2022 recast for comparability. As we have been saying time, the new accounting standard will result in more volatility in our quarterly GAAP results going forward as we will be required to re-measure many aspects of our long tailed insurance liabilities on a quarterly basis. LDTI requires the insurer to evaluate assumptions regularly and treats unprofitable block cohorts differently than profitable cohorts. Macroeconomic variables like quarterly interest rates or quarterly cost inflation and actual experience will vary significantly over the 30-year, 40-year duration of LTC liabilities. Therefore, volatility quarter-to-quarter should be expected. Over the long run, U.S. GAAP and statutory accounting results will ultimately be substantially similar. While we continue to report Genworth’s results in compliance with our GAAP reporting requirements, we manage the U.S. Life companies on a statutory accounting basis, because that is how the State Insurance Departments regulate Genworth and the Life Insurance industry. Jerome will discuss the LDTI accounting standard and its impact on our GAAP results in more detail. Results in the first quarter were led by Enact, which reported adjusted operating income of $143 million and ended the quarter with $250 billion of insurance in force. Enact and Genworth achieved a significant milestone on March 1st, when the government-sponsored enterprises or GSEs removed the PMIERs capital restrictions on Enact, which was important development for Enact and Genworth as Enact is no longer subject to more stringent capital requirements than its peers, putting it on a more level playing field with competitors. We also were very pleased that Fitch, S&P and Moody’s each upgraded Enact’s ratings this year. Enact continues to be a significant driver of value to Genworth. Since Enact’s IPO, Genworth has received approximately $405 million in capital from Enact, including $37 million in the first quarter. Turning to our Life businesses. First quarter statutory pretax net income for our Life Insurance companies was $192 million, reflecting very strong results for LTC Insurance. Statutory pretax income for the LTC legacy business was $138 million, driven predominantly by LTC premium increases and benefit reductions from in-force rate actions, as well as policy holder elections on the PCS I and PCS II settlements. These results are highlighted on page 17 of our investor presentation. The U.S. Life businesses complete statutory results will be available when we file our quarterly statutory statements later this month. In this economic environment it’s important to note that Genworth has a very strong investment portfolio and we are well positioned with respect to the recent turmoil across several regional and local banks. We had no exposure to Silicon Valley Bank or Signature Bank, and we have relatively modest exposure to First Republic Bank debt, which Jerome will cover in more detail. Genworth avoided the asset liability challenges that impacted some of the regional banks in the U.S. After the 10-year treasury rate fell below 1% in March of 2020, Genworth’s Asset Liability Investment Committees approved shortening the duration of our general account assets and unwinding some of the hedges put on to protect against a further fall in long-term interest rates. The respective committees approved the repositioning of the portfolios and derivatives, because we believe the very easy monetary policy of the fed over the last decade and the trillions of dollars of increased fiscal spending undertaken because of the COVID-19 pandemic would likely lead to substantial increase in inflation. Given the increase in long-term yields driven by higher inflation and the significant increase in fed policy rates, the Asset Liability Investment Committees acted quickly to prove a gradual increase in the duration of the general account assets over time and the replacement of some of the derivatives that protect against falling interest rates in the future. I would note that because of the large legacy LTC business, Genworth gains from a long-term increase in interest rates, but needs to protect the LTC liabilities from a significant decrease in long-term interest rates in the future. Further, the investments group has a very conservative underwriting strategy regarding our $10 billion commercial real estate portfolio. As a general rule, Genworth has done a major investor in mortgages that finance large commercial office buildings with a single tenant in downtown locations. Our commercial mortgages are well diversified with smaller loan sizes per deal and we require principal amortization on most commercial mortgages. Turning to our strategic priorities. We advanced our strategy to drive shareholder value significantly over the past several years culminating in several major achievements in 2022. We reached our long-term holding company debt target of under $1 billion, enhance the value of Enact, received multiple upgrades from the rating agencies, achieved $549 million and the annual LTC premium increase approvals, which was a record and began returning capital to shareholders for the first time in 13 years. As a result of the sec -- of our successful execution of our priorities, shareholders were rewarded with strong share price performance over the past year, despite the volatile macroeconomic backdrop. Building on this progress and the transformative improvement in Genworth’s financial position over the past few years, we are refocusing our priorities in three areas. First, we will continue to improve the financial condition of our legacy LTC business. We do this primarily through our multiyear rate action plan, the most effective tool we have to bring our legacy LTC Insurance portfolio to economic breakeven and on a go-forward basis. We achieved a total of $50 million in annual premium rate increase approvals in the first quarter, bringing our cumulative progress to approximately $23.8 billion in approvals on a net present value basis since 2012. We expect our total premium rate increase approvals to be closer to $250 million this year, which is lower than last year’s record amount of $549 million. We are pleased with the start we have had to the year for this critical work. Second, we continue to allocate excess cash from Enact to drive Genworth’s long-term shareholder value. Cash flows from Enact have enabled us to achieve key milestones to-date and will continue to benefit shareholders by fueling our share repurchase program and long-term growth strategy in CareScout. We repurchased $64 million worth of shares in 2022. As we committed to investors earlier this year, we picked up the pace of repurchases with an additional $68 million in the first quarter and we repurchased another $50 million in the month of April. This brings the cumulative total to approximately $180 million worth of shares repurchased at an average price of under $5 per share since the program’s exception last May. There is approximately $170 million outstanding under the current repurchase authorization. We also continue to opportunistically repurchase 2034 debt as part of our balanced capital allocation strategy and we made some repurchases in the first quarter. As of today’s date, holding company debt stands at $876 million, with an annual debt service expected to be approximately $60 million for 2023. There are covenants in our underlying debt instruments that restrict our ability to repurchase any of the subordinated floating rate debt. However, we will continue to consider swapping a portion of this floating rate debt into fixed debt, depending on market conditions in the future. Our third priority is to leverage Genworth’s substantial LTC expertise to develop innovative aging care services and solutions under the CareScout brand. We have planned for several phases of new products and services over the next three years to five. We launched the initial phase of CareScout Services in March. This business includes a digital platform where those in need of Long-Term Care can search for caregiving services, compare local care options and match with a quality care provider through a preferred network of high quality senior care providers that we are building in this first phase of the CareScout strategic plan. In addition to what we believe will be broad appeal of the digital platform and preferred network offerings to consumers, employers and other LTC insurers, the discounts available through the network have the potential to generate very significant reductions on our legacy Genworth LTC claims cost. Our preliminary projections indicate future cost savings in the $1 billion to $1.5 billion range on a net present value basis, depending on how quickly the preferred network is available nationwide, how many Genworth LTC policyholders choose a Preferred Provider within the network and the level of discounts we are able to achieve. We launched the CareScout Services Preferred Provider network in Texas given the size of the market and the significant number of Genworth policyholders in Texas. We are in the process of beta testing the digital platform with caregivers and care experts. We are currently in discussions with dozens of homecare providers in Texas to join the quality care network. We are very pleased that each of these providers understands CareScout Services value proposition around patient-centered quality care and the potential access to Genworth’s existing 1.1 million policyholders. CareScout extensive market research indicated that homecare providers should be willing to offer Genworth policyholders and other CareScout customers fee discounts between 10% and 20% and our discussions to-date confirm we can achieve this range of discounts for the quality network. CareScout services is currently focusing on homecare providers. There’s around 65% of Genworth policyholders prefer to receive care in their homes. While the initial focus of the quality care provider network will be our Genworth LTC policyholders in Texas. A number of the homecare providers are talking -- that we are talking to have a national or large regional operations covering a majority or in some cases all of the states. As a result, we believe we can significantly accelerate our efforts to build a national quality home provider network, while we allow a high quality experience and discounted fees from more existing Genworth policyholders and provide the scope of CareScout Services to many more new consumer markets. Working from a significantly improved financial foundation, these three priorities will guide our decision-making moving forward as we seek to maximize Genworth’s long-term value to shareholders. As always, we will maintain a disciplined capital allocation strategy, balancing investments in growth in CareScout with our share repurchase program. Looking ahead, I am very pleased with the continued strength in our operating results and our strategic progress. We have a much stronger balance sheet and ample liquidity providing significant flexibility as we navigate 2023. And with that, I will turn the call over to Jerome.
Jerome Upton: Thank you, Tom, and good morning, everyone. I am pleased to join my first earnings call as CFO of Genworth. I look forward to building on the great progress Genworth has made and continuing to work alongside Tom and the team to achieve our goals and deliver value to our shareholders. Before discussing the results, I will highlight changes to our segment reporting and provide an update on our adoption of the new GAAP accounting standard, long-duration targeted improvements or LDTI. Effective January 1st, we changed our operating segments to better align with how we currently manage the business. The operating segments are, Enact Mortgage Insurance, Long-Term Care Insurance and Life and Annuities. In addition, we have Corporate and Other, which primarily includes our Holding Company Debt, Public Company Operating Expenses and CareScout. Regarding LDTI, it is important to remember that this new GAAP accounting standard only applies to our Long-Term Care Insurance and Life and Annuities segments. It does not impact Enact or Corporate and Other. This accounting change is non-economic and does not impact our cash flows strategy, statutory accounting or capital levels or any of our capital management activities. With the adoption of LDTI, we have recast financial results for the Long-Term Care Insurance and Life and Annuities segments for the first quarter of 2022, as well as the 2022 balance sheet and reported the first quarter of 2023 under the new guidance. We are targeting to provide re-casted financials for the remaining quarters of 2022 by the time of our second quarter earnings announcement in early August. Turning to the quarter, I want to address the recent banking turmoil the market has experienced. As Tom mentioned, Genworth has no exposure to Silicon Valley Bank or Signature Bank. We have overall limited exposure to regional banks and are comfortable with our positions. We did, however, hold a small position in First Republic through the first quarter, mainly in their debt with $12 million of net exposure on a GAAP basis. We subsequently sold down the majority of our holdings and expect to record a loss in the second quarter. In addition, we have very limited bond exposure to Credit Suisse, which is expected to be acquired by UBS. And more importantly, we had no exposure to Credit Suisse’s riskier additional Tier 1 bonds. We are paying close attention to pressures and concerns in the market and our investment portfolio remains well positioned to manage through the current economic uncertainty. We proactively manage our holdings and the higher interest rate environment allows us to invest at attractive new money rates, which will benefit the portfolio over time. As a reminder, the majority of our assets are in investment-grade fixed maturities that we generally buy and hold to support the U.S. Life Insurance company’s liabilities. Because the liabilities are very long duration, especially for Long-Term Care Insurance, we have limited liquidity risk. We are closely monitoring our commercial real estate exposure, which is shown on slide eight and is approximately 16% of our total portfolio. The commercial real estate portfolio was concentrated in higher quality investment-grade assets and has modest office exposure of less than 20% on a weighted average basis. We believe our commercial real estate portfolio is well positioned amidst volatility and we remain proactive in managing office exposure and finding yield enhancing opportunities across all asset classes. Now I will turn to our first quarter financial results and holding company capital and liquidity position. For the first quarter, we reported $62 million of net income or $0.12 per diluted share and $84 million of adjusted operating income or $0.17 per diluted share. Results were led by Enact’s very strong performance of $143 million in operating income to Genworth, driven by favorable loss performance. Turning to slide nine, Enact’s primary insurance in force increased 9% year-over-year to $253 billion driven by new insurance written or NIW and continued high persistency of 85%. We continue to see lower primary NIW year-over-year driven by lower mortgage origination in the increase interest rate environment. As the Enact team has highlighted, while there are pressures in the housing and mortgage origination market and that continues to write profitable new business, balancing pricing, risk and return. Enact has a resilient portfolio, is well capitalized and continues to execute on its strategy. Moving to slide 10, Enact had a favorable $70 million pretax reserve release, which drove a loss ratio of negative 5%. The reserve release primarily reflects favorable cures on COVID-19 delinquencies. Prior year results included a $50 million pretax reserve release also due largely to cures on COVID-19 delinquencies. The estimated PMIER sufficiency ratio of 164% and or approximately $2.1 billion above requirements remain strong and relatively flat for the quarter. Enact’s quarterly dividend payment of $0.14 per share generated proceeds of $19 million to Genworth. We are pleased with our announcement to raise the quarterly dividend to $0.16 per share payable in June. Based on Enact’s expectation to return $250 million of capital to its shareholders this year, in line with their returns last year, we anticipate receiving approximately $200 million from Enact in 2023 based on our 81.6% ownership. This is expected to come through a combination of its quarterly dividends, share repurchase program and a special dividend. Slide 11 lays out an overview of the new GAAP accounting changes for our LTC and Life and Annuity segments. In summary, our assumptions are now based on best estimates at a cohort level versus original locked-in pricing assumptions and will be updated at least annually. Market risk benefits related to our Annuities products will be mark-to-market. Finally, we are required to discount our liability for future policy benefits at single-A corporate bond rate, with changes recorded through accumulated other comprehensive income or AOCI. This will create volatility in our reserves and AOCI on a quarterly basis. Additionally, each quarter, we are required to measure our actual experience versus our best estimate assumptions at a policy cohort level and these differences will flow through the income statement. Policy cohorts are based on the original contract issue date. When evaluating our actual experience versus our best estimate assumptions, we will take into account the policy cohorts net premium ratio. Our blocks with a net premium ratio below 100% have profits or margin, so we expect more modest earnings impacts from these cohorts on a quarterly basis as we evaluate actual experience. For the unprofitable policy cohorts, which we think about as having no margin, the net premium ratio was capped at 100% and the full impact of the actual to expected differences will hit the bottomline. This is particularly true for our older LTC policy cohorts that make up roughly half of our LTC block. The impacts to these unprofitable cohorts may be a material driver of our GAAP earnings story going forward. As Tom mentioned, the expected quarterly volatility going forward, particularly in LTC GAAP results, reinforces why we have encouraged investors to also review our statutory disclosures. Now let’s turn to our first quarter Long-Term Care Insurance GAAP results. Our LTC business reported an adjusted operating loss of $37 million, compared to adjusted operating income of $27 million in the prior year. Current quarter GAAP results reflect an unfavorable assumption update for timing delays related to the implementation of certain in-force rate actions or IFAs. This was partially offset by favorable actual experience versus our expectations under current best estimate assumptions, principally in the unprofitable cohorts, although less so than the prior year. This experience included higher than expected new claims and benefit utilization compared to the prior year. Terminations were elevated in the current quarter compared to expectations, partly due to seasonally high mortality in the first quarter of the year, although lower than the prior year. For slide 12, premiums were up versus the prior year from increased premium rates from implemented IFAs, which offset block runoff and the impact of policies reaching a paid-up status. Net investment income was up versus the prior year from limited partnerships, bank loans and higher investment yields. As indicated, we have continued to provide more statutory disclosures in our quarterly materials as this is our focus for managing the business and is the focus of our regulators and rating agencies. As shown on slide 13, in the current quarter, statutory pretax earnings from LTC are estimated to be $138 million, driven by $357 million of earnings from our IFAs. Statutory income provides more visibility into the positive impact the IFAs have on our business, which is a vital piece of our strategy and the key initiative to stabilize our LTC block and bring it to breakeven. It is noteworthy that under LDTI accounting, our best estimate assumptions now include expectations related to IFAs and legal settlements impacts in our reserves. However, LDTI did not change how we report IFA premiums or expenses related to IFAs and settlements. Going forward, on a GAAP basis, will only see an earnings impact when our best estimate liability assumptions are updated or if there are differences in the actual to expected experience. While we can’t predict the future, we generally expect our quarterly LTC GAAP earnings to be significantly less than our statutory earnings as a result of how IFA benefit reductions and reserve releases flow through earnings. We continue to make progress this quarter on our multiyear rate action plan, achieving an incremental net present value of $300 million on $50 million of gross premiums approved, as shown on slide 14. IFA filings are generally lower in the first quarter of each year as we complete our year-end processes and planning for the upcoming year, but the team completed 29 new state filing submissions in the first quarter of this year on nearly $250 million of in-force premium. 2022 was a record year for us in terms of our multiyear rate action plan performance and we have a good start to 2023. Our cumulative net present value of achieved IFAs is now $23.8 billion, up from $23.5 billion at the fourth quarter of 2022. Over time, more policyholders have chosen to reduce their LTC benefits, which in turn, allows us to reduce our tail risk on these policies. For slide 15, the cumulative policyholder response to premium rate actions through the first quarter shows 46.4% electing to reduce benefits. We are now a little over midway through our implementation of the second LTC legal settlement related to PCS I and II policies, which began on August 1st and covers approximately 15% of our LTC block. As a reminder, policyholders have a 90-day election period, so we would expect to see financial impacts from the settlement into the fourth quarter of this year. The third LTC legal settlement related to our large Choice II policy block has been approved by the court and the appeals process is complete. We are pleased to have begun implementation earlier this week with the first mailings of settlement election letters going out to policyholders. This settlement represents 35% of our LTC block as Choice II is our largest block of business. Overall, the settlements are favorable to both the policyholders and to Genworth. For us, the settlements helped reduce the tail risk on our LTC block, which is important as we continue to see higher new claims as our Choice I and II policies age. Turning to slide 16. Our Life and Annuity segment reported an adjusted operating loss of $4 million, driven by an adjusted operating loss in Life Insurance of $27 million, partially offset by adjusted operating income from fixed Annuities of $14 million and $9 million from variable Annuities. The primary driver of the loss in our life insurance product was unfavorable mortality experience. However, it was improved versus the prior year as the COVID-19 mortality we saw last year did not reoccur. The prior year also included a $25 million pretax expense accrual related to a legal settlement for our Universal Life Insurance products. Fixed Annuities results reflected higher fixed payout annuity mortality and lower net spreads versus the prior year. Variable Annuities had favorable impacts from the aging of the block compared to the prior year, partially offset by lower fee income from lower account value. As shown on slide 17, we are estimating pretax statutory income for our U.S. Life Insurance companies to be $192 million, driven by LTC pretax earnings of $138 million, as I mentioned, predominantly driven by $357 million of LTC IFAs and favorability in our variable Annuities related to the net impact of improved equity market performance and lower interest rates. The consolidated risk-based capital ratio for Genworth Life Insurance Company or GLIC, is estimated at 295% at the end of March, up from 291% at the fourth quarter, reflecting the strong statutory earnings in the current quarter. The consolidated balance sheet of GLIC remains sound with capital and surplus as of March 31st estimated at $3.2 billion, compared to $3.1 billion as of year-end. We are pleased with the continued growth of our capital and surplus and improvement in unassigned surplus, although still negative at this time. I will reiterate that our plans for the U.S. Life Insurance companies have not changed and we do not expect to receive dividends from the business or to contribute capital into it. We will continue to manage the U.S. Life Insurance companies on a standalone basis focusing on stabilizing the LTC block and bringing it to breakeven. Our final statutory results will be available on our investor website with our first quarter statutory filings later this month. Rounding out GAAP results for the quarter. Corporate and Others current quarter adjusted operating loss of $18 million was higher compared to the prior year, driven by investment in future growth with CareScout and higher interest expense. Turning to the holding company on slide 18. We ended the quarter with $233 million of cash and liquid assets, above our cash target of 2 times annual debt service. We received $37 million of capital from Enact and $48 million from intercompany tax payments in the quarter. For the full year, we expect approximately $175 million to $200 million to the holding company and net intercompany tax payments. We repurchased $11 million principal of our 6.5% coupon 2034 debt maturity during the current quarter. As we have said before, we will look to opportunistically repurchase our 2034 debt as we have free cash flows available and in consideration of our other capital priorities. The larger outflows for the quarter related to our share repurchase program and the timing of our annual employee compensation payments, which are reimbursed by the subsidiary businesses. Given our significant debt reduction over the past few years, our holding company financial position has significantly improved. We are now operating from a position of strength and have enhanced our flexibility as a company. As we think about our capital allocation strategy going forward, we will be proactive in managing our free cash flows. We will continue to invest in our new CareScout growth initiatives, return capital to shareholders through our share repurchase program and opportunistically pay down debt. We had a strong start to the year, reflected in Enact’s performance, our strong statutory earnings in our U.S. Life Insurance companies and ratings upgrades from S&P and Moody’s. We continue to execute on our strategic priorities and accelerated the pace of our share repurchase program, driving value Genworth shareholders. Now, I will turn the call back to the Operator for your questions.
Operator: Thank you. [Operator Instructions] We will go first Brett Osetec with KBW. Your line is open, sir. Please go ahead.
Brett Osetec: Hey. Good morning. So I just wanted to get your guys take on what you would think the GAAP operating Long-Term Care earnings can kind of be going forward, would you expect to be kind of within the same quarterly run rate you got this quarter? Just any way to think about that going forward? Thanks.
Tom McInerney: So, Brett, good question. I would say, it’s very hard to predict GAAP earnings under LDTI, because there are these adjustments for -- when the actual to expected are different and there’s a different treatment of the profitable cohorts versus the unprofitable any 50-50 between the two. But Jerome, I’d turn it to you, you are the expert on LDTI, you and your team and any further flavor for Brett, I do think it’s a good question, but it’s just hard, I think, to give a good answer. We -- I think maybe statutory will be a little bit more consistent. So, Jerome, anything you want to add.
Jerome Upton: So, thank you, Tom, and good morning, Brett. Thank you for your question. I would say and agree with Tom sentiment. It’s -- we cannot provide guidance on this front. I will highlight to you that our earnings are going to be volatile. They are going to be driven by these cap cohorts that are roughly 50% of our book. They are unprofitable and as ADEs [ph] actual to expected come through, we are going to have to book that immediately in earnings. So it’s going to create volatility. And the other thing that I will highlight is, we are not going to see benefit reductions coming through the P&L. That’s already incorporated into our accounting model, but you will see the settlement costs coming through. So as we roll out and continue with our PCS I and II, and then ultimately roll out our Choice II legal settlement, you will see the settlement costs come through. But not all of the in-force rate actions, particularly related to the benefit reduction. So I can’t give you guidance. It’s very hard to predict. I think the best we can do is what we shared in my prepared remarks is that U.S. GAAP is going to be significantly less in statutory, the profits from a statutory basis, and we are very pleased with the statutory earnings and Long-Term Care of $138 million.
Brett Osetec: Got it. Thanks. And then just as a follow-up, you guys meaningfully stepped up the pace of buybacks this year. How are you guys, I guess, thinking about sources of holding company cash balance going for the year, I know you guys talked about you expect $175 million to $200 million in intercompany tax payments and you have $170 million left on the buyback authorization. I am just wondering if like all that’s going to go to the buyback, how much you guys are thinking about perhaps contributing to growth in CareScout as well? Thanks.
Tom McInerney: Yeah. So, Brett, another great question and let me take that. So our sources of cash, and Jerome covered these in his remarks, so -- and Enact confirmed on their call earlier this morning that they expect total cash flow to shareholders to be $250 million and so our share 81 -- roughly 81.5% is $200 million. So that’s for the year and we got some of that in the first quarter. So but $200 million in total. And then Jerome gave you guidance on the tax payments. And again, just to reemphasize why I think statutory earnings are much more important than GAAP earnings is statutory earnings are very close to tax earnings. And so we are expecting, based on the tax earnings and statutory tax earnings and Enact and U.S. Life for tax payments going forward of you gave you the range, $175 million to $200 million. I think it was -- so think of that as $50 million a quarter. So that’s sort of the inflows. And then we -- the investment in 2023 in CareScout. We told you this last quarter is around $30 million and then we told you that the interest expenses here will be about $60 million. So $90 million between the interest payments and the CareScout investment and then the balance existing cash plus the cash from Enact, the tax payments, I think, give us -- we assume a pretty significant amount of cash for the year. I would expect that the remaining $170 million, I wouldn’t be surprised, if we pretty close to exhausting that by the end of this year. I mean, we will see things can happen, and obviously, as we get closer to that point, our intention -- management’s intention is to discuss our new authorization -- repurchase authorization for the -- with the Board.
Brett Osetec: Got it. Thank you.
Tom McInerney: All right. thank you.
Operator: And ladies and gentlemen, I will now turn the call back over to Mr. McInerney for closing comments.
Tom McInerney: All right. I guess there were not a lot of questions today. We do know there were some competing calls. So I do want to thank all of you for joining the call today, and Brett, thanks for your questions. I think they are very good ones. We are very pleased with where we are, good performance, we think the first quarter, I mean, obviously, Enact had a strong quarter and because we manage the Life company on past two earnings at $192 million pretax statutory income, we think we had a very good first quarter for the Life companies. We are excited to execute on our plans, including in CareScout for the rest of the year. I think we are well positioned to continue returning capital to shareholders and we talked with Brett about that. And while we are, at the same time, investing in sustainable Long-Term Care growth and CareScout, I kind of size that for you. So thank you for your interest and support of Genworth. And with that, I will turn the call back to Jess.
Operator: Thank you. Ladies and gentlemen, that will conclude today’s earnings call. We appreciate your participation. You may disconnect at this time.